Operator: Good afternoon, and welcome to the Petco Health and Wellness Company, Inc. All participants will be in a listen-only mode. Should you need assistance, please signal a conference specialist by pressing the star key followed by zero. Please note that this event is being recorded. I would now like to turn the conference over to Tina Romani, Head of Investor Relations and Treasury. Please go ahead.
Tina Romani: Good afternoon, everyone. And thank you for joining Petco Health and Wellness Company, Inc.'s fourth quarter and full year 2024 earnings conference call. In addition to the earnings release, there is a presentation available to download on our website, at ir.petco.com summarizing our results. On the call with me today are Joel Anderson, Petco Health and Wellness Company, Inc.'s Chief Executive Officer, and Sabrina Simmons, Petco Health and Wellness Company, Inc.'s Chief Financial Officer. Before they begin, I'd like to remind everyone that on this call, we will make certain forward-looking statements. We are subject to a number of risks and uncertainties that could cause actual results to differ materially from such statements. These risks and uncertainties include those set out in our earnings materials and SEC filings. In addition, on today's call, we will refer to certain non-GAAP financial measures. Reconciliations of these measures can be found in our earnings release, presentation, and SEC filings. With that, let me turn it over to Joel.
Joel Anderson: Good afternoon, everyone. And thank you for joining us today. 2025 marks the sixtieth anniversary of the Petco Health and Wellness Company, Inc. brand. What started as a single store in 1965 has grown into a fleet of over 1,500 stores in North America, allowing us to reach approximately three in four people in the United States who live within ten miles of a Petco Health and Wellness Company, Inc. As we celebrate the company's history, we also have an opportunity to reinvent our iconic brand for the future and position the business to regain share in the large but highly fragmented market. This includes broadening our brand and vision from a singular focus on health and wellness to serving all pets and pet parents while tapping into the emotional connection to pets inherent in our brand DNA. Before I discuss today's results, I want to briefly reflect on my tenure to date at Petco Health and Wellness Company, Inc. Culture is something that has always been important to me as a CEO. It is an area at Petco Health and Wellness Company, Inc. that needed immediate attention but is also not something that changes overnight. It takes consistency and authenticity to evolve the mindset of our broader teams or increase transparency, accountability, and teamwork. As part of this, I've been actively engaged visiting and working in our pet care centers, distribution warehouses, holding small group listening sessions, which I call coffee connects, as well as large town halls. I found our team members responding well to the message and appreciative of the openness about what we need to do to improve this great brand once again. I want all 30,000 partners to know how committed I am to them and express my excitement about the long-term opportunity in front of us. In my prepared remarks today, I will provide you with specific details of what we have accomplished and what is on the horizon to continue our progress. In addition to the internal changes underway, we also benefit from operating in a resilient market. The pet category is expected to reach $200 billion in the next five years, and the ongoing humanization of pets continues to be a powerful tailwind, one that we are all well-positioned to benefit from. Additionally, services are the fastest-growing area of the pet category, where we have an established leadership position and a differentiated model of owned grooming and vet locations at scale. Most importantly, our Petco Health and Wellness Company, Inc. team brings our mission to life with their passion for pets and dedication to serving our customers. It is against this backdrop I believe firmly that Petco Health and Wellness Company, Inc. is the only retailer that can deliver complete care for pets and expert support for pet parents in one stop. Let's turn to our results. In the fourth quarter, we delivered revenue of $1.55 billion in line with our prior outlook, and adjusted EBITDA of $96.1 million, which was ahead of our expectations. Our results demonstrate the progress we've made to return the business model to retail operating excellence and drive structural cost out. While there is more work ahead, I am confident we are going to reset our long-term economic model starting this year and are well-positioned to build on this early momentum and deliver double-digit growth on adjusted EBITDA year over year in 2025. Let me now unpack in greater detail our long-term phased approach to delivering on Petco Health and Wellness Company, Inc.'s full potential. Starting with phase one, which is well underway, over the last six months, I have relentlessly focused on one, improving the operating model, two, giving our stores a voice, and three, restoring our retail fundamentals. Quite frankly, our foundational practices were not those of a successful consumer business and needed overhauling. We have made great progress on all three and are strengthening the foundation for Petco Health and Wellness Company, Inc. to return to sustainable profitable growth. The successful evolution of our leadership team is a critical enabler of this work. Each of our leaders brings a wealth of retail industry expertise and a proven track record for delivering and driving results. And they are already accelerating our operational improvements. Specifically, as CFO, Sabrina Simmons brings more than 20 years of executive financial leadership in consumer retail. She will help us harness the collective expertise of the wider leadership team by driving increased financial rigor and discipline around our initiatives. As Chief Customer and Product Officer, Michael Romancho will drive the transformation of the Petco Health and Wellness Company, Inc. brand from product development to presentation to messaging, with a focus on tapping into the unparalleled joy and love pets bring to our lives. This spans the uniqueness of proprietary brands, how well we tell the story of our national brands, and customer-centric marketing strategies. And Jack Stout transitioned into our Chief Merchant role, where he has been institutionalizing best-in-class retail practices across our buying teams, as well as merchandising operations and supply chain. Additionally, last year, we welcomed Joe Venezia as Chief Revenue Officer, who is focused on optimizing our real estate portfolio while maximizing growth in our existing store and hospital fleet. Dan Calista, Chief Strategy and Transformation Officer, is building the internal capabilities to execute on our transformation. And Holly May has supported all these leadership changes as our Chief Human Resources Officer. I'm incredibly excited to be working along this fantastic team to unlock Petco Health and Wellness Company, Inc.'s full potential. Across our pet care distribution and support centers, our leadership team is helping the entire organization fundamentally change the way we think and work to ensure all aspects of the business are operating effectively and seamlessly. Collectively, we are committed to reinvigorating our culture, and I believe we now have the right cost controls in place and are executing against them with urgency. As we enter 2025, we will continue to identify additional opportunities to drive savings and unlock value. This brings me to phase two. With a seasoned leadership team in place and greater control over our cost print, we are currently in phase two of our long-term strategy, which is all about implementing and executing to strengthen our retail fundamentals. Specifically, merchandising continues to be the greatest near-term opportunity for us to drive gross profit improvement. We have completed negotiations with our vendors and put in place a rigorous product cost framework designed to reduce product costs and support gross margin improvement in 2025 and beyond. In today's more challenging economic and consumer environment, we recognize the consumer remains discerning, and it is critical that we always have the right products at the right price. To that end, we conducted a detailed review of our product assortment and are optimizing it to more closely align with consumer demand and preferences. Specifically, we're allocating more of our focus and shelf space to top-selling brands and high-velocity SKUs across categories. In addition, we're continuing to sharpen our approach to pricing and have established a strategic pricing framework by category. This allows us to offer quality across the value spectrum, with competitive price points while also protecting margins. Next, to further lower costs and strengthen the economic model, we are laser-focused on driving efficiencies throughout the organization. Part of our pricing work we have refocused our promotional strategy to move away from low-margin revenue and toward more impactful targeted opportunities. We are now executing more targeted promotions and seeing favorable initial results. We're also optimizing our customer support infrastructure, which includes our call center vendor partnerships and physical locations of our support teams. We expect these actions to reduce friction for the customer while also removing costs from the system. And within e-commerce, we've identified opportunities to reduce the cost per order and the number of split shipments, increasing overall shipping efficiencies and delivering speed. Taken together, these actions are not only improving profitability, but they are delivering exceptional customer service. Across our pet care centers, we are continuing to evolve our labor model to reduce in-store tasking and free our team up to spend more time with our customers. And we're taking actions to improve overall customer satisfaction, including reducing click-to-delivery time for our e-commerce customers and increasing visibility into order tracking for omnichannel customers. In addition, during this phase of implementing and executing, the entire leadership team is busy studying the pet category, the market opportunities, the competition, and getting to know the superpowers of our teams. It is important that before we turn our full attention to growth, our actions are rooted in deep data and analysis. I'm pleased with the early phase two progress to further strengthen the fundamentals of the business as well as the identification of additional opportunities to drive savings and unlock value. Let me spend a few minutes now on phase three, which should begin in earnest late 2025. While we are 100% focused on executing on our initiatives to drive profit improvement, we are also preparing for the third phase of our trajectory revenue growth. As we position the business to return to offense, we will begin to see and test revenue growth initiatives. Allow me to share several examples. One, central to the growth will be the customer and product work currently underway led by Michael Romancho. In his initial days, he has begun to evaluate a more cohesive approach to communicating with our customer. He is also focused on better utilizing our internal product development capabilities to source unique products just for Petco Health and Wellness Company, Inc., both differentiating us from the market and increasing our relevance with pet parents. Two, we are engaged in a comprehensive North Star project to fully understand our positioning in the competitive landscape and where the clear white space is for Petco Health and Wellness Company, Inc. to win with customers. We expect to complete that work by the end of the second quarter. Three, it is important we identify ways to make our store fleet more productive as well as study which DMAs are underserved by Petco Health and Wellness Company, Inc. That work kicked off in Q1 of this year. Four, we will also look to enhance our omnichannel capabilities and digital experience to stimulate growth, including revisiting scaling our membership program in 2026. And five, we will continue to invest in services opportunities, the fastest-growing area of the pet category. We have an established leadership position and a differentiated model. All these actions and more will gain momentum once we have successfully implemented the actions of phase two that I outlined for you earlier. Collectively, they're designed to identify new ways to elevate the Petco Health and Wellness Company, Inc. brand, enhance the customer experience, and build top-line momentum. I look forward to providing periodic updates on our progress as we prepare the organization to shift to offense. Before I hand it over to Sabrina, let me reiterate that I'm pleased with the progress we have made in 2024 to strengthen our retail fundamentals and set the foundation for sustainable profitable growth. While there is more work ahead, we are operating from a stronger position today, and we have a detailed multi-phased approach in place for continued improvements. I am confident we have the right strategy and team in place to reach our full potential over time. Sabrina,
Sabrina Simmons: Thank you, Joel, and good afternoon, everyone. I'm thrilled to be joining all of you today. I feel fortunate to step into this position at such a pivotal time for Petco Health and Wellness Company, Inc. So I didn't really imagine I'd be taking on another operating role. The potential before us was frankly just too hard to resist. Echoing Joel's comments, Petco Health and Wellness Company, Inc. is an incredible brand. And with the work the teams have underway, we'll hold an increasingly differentiated position within the large and resilient pet category. Serving on the board over the past few years has allowed me a running start in focusing on the key areas that will improve our operating and financial performance. As you've heard from Joel, over the past several quarters, our focus remains on improving profitability, which we believe in large part will result from execution. Our number one financial priority is clear: restoring the health of our economic model, which in turn will improve our earnings power and set the foundation for sustainable profitable growth over the long term. Specifically, we are focused on three areas. First is an intense focus on driving gross margin improvement, both in terms of rate and dollars. Principally, this means that we will no longer chase sales at the expense of margin. Instead, we will look to maximize all levers at our disposal, including AUC, pricing and promotions, and mix to improve our gross margin rates. While this takes time and requires great attention to detail, it represents a foundational tenet of managing a healthier business. And that's what excites me. The focus on simply strengthening retail fundamentals presents such an opportunity to improve our earnings power. A great example would be our services business. Work on our existing fleet of vet hospitals is underway, where the teams are optimizing our current locations that are not at full utilization. Optimizing existing hospitals is a highly efficient way to drive services growth and improve our services margins with minimal capital. That is just one example, but, again, a simple back-to-retail fundamentals approach that will have a meaningful benefit to our margin structure over time. Moving to our second priority, leveraging SG&A will be a key pillar of our strengthened economic model, ensuring all aspects of our business are operating effectively while instilling cost discipline across the organization. To be clear, this is not a one-time cost-cutting exercise but rather an operating principle and shift in our mindset, resulting in greater efficiency, agility, and increased productivity, all of which will require a higher level of accountability and discipline across every aspect of our business. Which brings me to our third priority, the imperative to improve our return on invested capital by instilling new rigor and discipline into our capital allocation decisions. Our focus on these three pillars—gross margin expansion, SG&A leverage, and ROIC—will improve profitability and, quite importantly, free cash flow generation. I look forward to discussing all of these topics further both today and in our conversations to come. Now I'll go into our fourth quarter results followed by our outlook for 2025. Fourth quarter comparable sales were up 50 basis points year over year. For the quarter, net sales were $1.55 billion in line with the prior outlook. When comparing net sales to the prior year, it's important to note that the fourth quarter of 2023 benefited from an additional week. Fourth quarter gross profit decreased about 3% to $589 million, primarily reflecting the impact from the loss of the fifty-third week in 2024. Fourth quarter gross margin increased 180 basis points to 38%. The majority of the increase is driven by the lapping of an inventory and impairment charge in the fourth quarter of last year, with the remainder driven by progress on margin management. Moving on to expenses, total SG&A was $571.9 million or 36.8% of net sales, an increase of approximately 60 basis points versus last year, primarily driven by consulting fees and incentive compensation associated with our ongoing transformation efforts. Adjusted EBITDA was $96.1 million with an adjusted EBITDA margin rate of 6.2%, down approximately 10 basis points versus last year. Regarding the balance sheet and cash flow, a critical goal for us is to achieve a debt-to-EBITDA leverage ratio below two times. Clearly, this will take time and will require profitability improvement through the tenets I spoke about earlier, which we are pursuing with urgency. In the short term, we're focused on making incremental progress as evidenced by the steps forward we made in 2024, including $50 million of positive free cash flow and an improved cash balance of $182 million. Now turning to our outlook for 2025. Of note, our outlook excludes any estimated impact of potential tariffs where the dynamics remain quite volatile. To be helpful in providing some perspective on potential impact, there are a few points I can share. The most direct tariff exposure sits within our own brands. Inventory purchases from China, Canada, and Mexico for our own brands represent only about 5% of our total merchandise cost of goods sold. Our indirect exposure sits primarily within our national brands. We are fortunate to have strong vendor relationships at scale, which provide productive conversations and supply flexibility as we partner together to navigate fluid dynamics and uncertainty. We, like everyone, are closely monitoring the situation as developments continue to unfold and will leverage our flexible supply chain to mitigate any potential impact. With that, for the full year, we expect overall net sales to be down low single digits to last year. Of note, we closed 25 net locations in 2024 and ended the year with 1,398 pet care centers in the US. In 2025, we expect to close between 20 to 30 net locations. We expect adjusted EBITDA to be between $375 and $390 million. Within this guidance, and following the framework laid out earlier in my remarks, our goal will be to expand gross margin rate each quarter on a year-over-year basis, albeit modestly initially, and to leverage SG&A. With regards to other guidance items for the full year, we expect depreciation and amortization to be approximately $200 million, net interest expense of approximately $130 million, and approximately $130 to $140 million of capital expenditures with a greater focus on ROIC. Now let me share some perspective on our outlook for the first quarter. Broadly, we expect the first quarter to align to the economic model framework I've outlined for the year. Specifically, we expect net sales to be down low single digits versus the prior year and adjusted EBITDA to be between $82 million and $83 million, up approximately 9% year over year at the midpoint. Before opening up for Q&A, I just wanted to reiterate my optimism about the opportunities in front of us. With a seasoned leadership team now in place, a defined framework to strengthen our economic model, and operational improvements underway, I'm confident we're establishing a solid foundation for Petco Health and Wellness Company, Inc. to return to long-term profitable growth. With that, we welcome your questions.
Operator: We will now begin the question and answer session. If at any time your question has been addressed and you would like to withdraw your question, and your first question today will come from Steve Forbes with Guggenheim. Please go ahead. Good afternoon.
Steve Forbes: Joel, I'd be curious. Right? You lay out the phases here. Phase one, phase two, phase three. A lot of us sort of want to look out to phase three and the return to growth. So maybe just talk about, you know, sort of the infrastructure where it's supply chain infrastructure or digital capabilities that you may need to invest behind and or improve now that you got the people in place. Like, what other sort of larger moves or larger investments do you need to sort of lean into to really ready the business for that phase three?
Joel Anderson: Yeah. Hi. Hi, Steve. And thanks for the question. I think it was important I laid out for all of you a specific plan for our long-term growth objectives. And clearly, phase one is something I started in on right away. And I'd summarize that as, you know, stabilize profitability, as you said, get the leadership team in place and improve culture. And right now, we are right smack in the middle of this whole phase of implementing and executing. And then as it relates to phase three, which I'm sure you're all anxious about, what's more important though is that we've really got to stay focused on this implementation and execution phase of getting our costs back under control and delivering improved EBITDA. I don't see any significant infrastructure investments that we've got to make. We just got to be more disciplined, Steve, about how we go about delivering improved EBITDA. And, you know, specifically, Sabrina talked a lot about our discipline around ROIC, and I think that is something that we weren't probably as diligent on as we had to before, but there's not a significant infrastructure investment we've got to make in order to start to get back to driving offense.
Sabrina Simmons: Yeah. Maybe just to add on to what Joel said, Steve. Of our total CapEx spend this year, about 40% is against what we'd call expansion capital. So within that 40%, we are investing in IT infrastructure, including digital. And we are investing in a lot of testing, like for remodels and all of that. So we are sort of queuing up for our phase to regrowth within that capital spend. I just wanted you to know rest assured that it's not all just maintenance capital.
Steve Forbes: Thanks, Maria. And that's super helpful. And then maybe a follow-up on that. As we think about sort of this ROIC fixation as you deploy capital, Sabrina, I think you mentioned optimizing, right, existing vet hospitals. So can you maybe talk about, you know, sort of what is the current like, what's driving the difference in performance among the hospitals today? Is it just an issue with real estate location, or is it operations? Like because that was obviously a big initiative of the past team. Like, what are you guys sort of doing as you think about optimizing that initiative?
Joel Anderson: Yeah, Steve. That strategy remains very important to us. First of all, we have a relatively new fleet of hospitals. So the first thing we've got to do is, you know, continue to staff up all those hospitals, more marketing to them, making customers aware we have them. And that is a very low capital investment and a strong return on investment as we've already invested in the capital to build them. So now we've got to really get them staffed and tell people that they're there.
Steve Forbes: Thank you. Thanks, Steve.
Operator: And your next question today will come from Steven Zaccone with Citi. Please go ahead.
Steven Zaccone: Hey. Good afternoon. Thanks very much for taking my question. Sabrina, I was curious for your assessment coming into the business. When you look at the opportunity here for EBITDA improvement, what do you see as some of the low-hanging fruit that maybe should have been done years ago, and what gets you most excited about getting some margin opportunity in the future?
Sabrina Simmons: Thanks for the question, Steve. I mean, you could probably hear in my voice. I'm just so excited to be here because I think the opportunity before us is immense. And I know that many of my colleagues who are new to the team also saw this enormous opportunity for this great brand to return to greater economic health. And, you know, as Joel has said in a couple of his past calls, the most exciting part of looking at this is it's really just fundamental retail back. It's not, you know, it's not something super unique. It's really about working every lever of the business properly to improve profitability. And so this year, as I said in my remarks, we have an opportunity to really go after in a disciplined manner gross margin expansion. And that means every lever. You know, working with our vendors on the AUC part, working on pricing, stopping promo stacking, all sorts of levers within that line item. And then on the SG&A line, we're so committed. Like I said, it's really a mindset change where we're just looking at efficiency and effectiveness everywhere we go and commitment to leveraging SG&A. And you know, you guys know the retail math. If you're able to do that, when we start to regrow sales, that flow-through of sales is just a beautiful thing, and that's the opportunity on EBITDA before us, and it's, I think, super exciting.
Steven Zaccone: Okay. Great. And then I guess, the commentary, Joel, about merchandise improvement, could you just elaborate a little bit more there? How much of that is, you know, working more with stuff that's already in the store versus getting better, you know, kind of allocations of stuff that you don't already have? I'm kind of curious. Because we've gone through a period where, you know, the prior team talked about not having enough mass product. We kind of added that to the store. So just help us understand what the merchandise improvements are.
Joel Anderson: Yeah. Great question, Steven. You know, there's two sides to that. One is when I look at our unique merchandising model, what got me excited about this business is this nice balance between consumables and discretionary. On the consumable side, what we've been really focused on is improving our in-stock. And so, you know, we put in place a new inventory system last year that's helped significantly. And on the discretionary side, you know, that's about innovation, newness, and trend right. And I think that we have a big opportunity there to drive a better impulse buying. So that's on the merchandise side. On the, you know, the initiatives that are underway that are already starting to gain traction, we've gotten better at vendor negotiation. We've gotten better at assortment optimization. We've shortened our pricing approach. And all of those combined are what you'll start to really see take traction here in this space too that I call implementing and executing. Hopefully, that gives you a really good overview of how we're thinking about the merchandising model.
Steven Zaccone: Yep. Thanks very much. Thanks a lot.
Operator: Your next question today will come from Michael Lasser with UBS. Please go ahead.
Michael Lasser: Good evening. Thank you so much for taking our question. Joel, given some of the commentary and the plan that you've outlined, along with comparing Petco Health and Wellness Company, Inc.'s performance in the fourth quarter to its largest pure-play pet specialty competitor, it would seem like the message is we are willing to sacrifice some sales and market share at least in the short run to improve the profitability and establish the foundation for the long run. So a, is that a fair interpretation? And b, do you get the market share back, especially if customers are gravitating to other outlets? How do you rewind those customers over the long term? Thank you very much.
Joel Anderson: Yeah. Hey. Thanks, Michael. And you know, I think that's a fair assessment. And take that as an example of how disciplined we are about returning this great brand to growth. And so part of that discipline is really understanding all levers that we had. And quite frankly, we were chasing sales in several instances that, you know, long term had no LTV to them. And so while in the short term that was needed, that by no means is our long-term goal. And I think of the long-term potential, you know, I think success looks like, you know, we've strengthened our profitability. We've improved our cash flow. We've lowered our leverage, which Sabrina outlined in detail. And then Petco Health and Wellness Company, Inc. is a growing retailer. And so what you'll see in phase three, which will start to emerge the back half of this year and the beginning of next year, is that we will, you know, begin to identify levers of growth, and I outlined specifically four or five areas that I'm focused on, Michael. And we will test our way into those and make sure that they're promising, but that'll be the third phase absolutely that we'll focus on.
Michael Lasser: And if I could ask a quick follow-up question. It looks like your guidance for this year is embedding expectation that your comps are flat to maybe slightly negative. So if that's the case, how do you manage your SG&A in light of that? And at some point, do you run the risk of touching customer-facing activities that could result in it being more challenging to return to growth when that phase will occur? Thank you.
Sabrina Simmons: Let me I'll start, Joel. It's a great question, Michael. We are absolutely customer-focused. And part of this whole foundation building that we're talking about in 2025, which is so critical before we, you know, sort of turn even more of our focus to regrowth, is really making sure that we are addressing our customer needs. So SG&A, again, it's about leverage. It's not about a one-time cut program. It's all about leveraging what we have, leveraging in. And there's many, many areas to go after, and this is something in my former life I have lots and lots of experience with. There are so many areas to go after that don't touch our customer within no way, you know, harm our customer experience. That's our number one goal is to please our customer.
Joel Anderson: Yeah. And, Michael, I might just add to that. You know, if you allow me some rounding, you know, don't look too far deep into that. Because, you know, we shared with you, we closed 25 stores last year. Most of this happened right at the end of the fourth quarter. And then closing 20 to 30 this year. That right there just adds up to a couple points of decline. And you know, those were obviously, we wouldn't be closing those stores if they were profitable. So a lot of the improved EBITDA comes just from, you know, removing some stores that, you know, were dragging us backwards. But I think, Sabrina, you outlined it perfectly.
Michael Lasser: It's very helpful, and good luck. Thank you.
Joel Anderson: Thanks, Michael.
Operator: Your next question today will come from Oliver Wintermantel with Evercore. Please go ahead.
Oliver Wintermantel: Yeah. Hi. Thanks. Question is regarding your EBITDA, the flow through to free cash flow. If you maybe could give us a little bit of details of how you think the EBITDA is converting into free cash flow in 2025?
Sabrina Simmons: Yeah. You know, there's a lot of variables as you know, a number of factors that impact free cash flow. If you think about how we've just guided 2025 adjusted EBITDA up 14% at the midpoint, one of the biggest levers to cash flow in 2025 will be that improved profitability. After that, we will continue working all our working capital levers, and there's several there. You know, we may even look during the year to do a little investing of inventory again, with this obsession about making sure our customers' needs are met, we may do a little bit of investing in inventory to make sure we're in stock, but we have other levers within working capital to offset that. So that's kind of how we're thinking about cash flow 2025.
Oliver Wintermantel: Got it. Thank you. And then maybe as a follow-up, can you talk a little bit about how you expect the mix shift to be playing out this year? You know, supplies, hard goods versus services. Thank you very much.
Sabrina Simmons: Yeah. I guess the good news is we are not relying on any mix shift into supplies out of consumables to meet our guidance. If that happens, wonderful. Tailwind. Fantastic. But we're not relying on that to deliver our guidance.
Oliver Wintermantel: Thank you very much, and good luck.
Joel Anderson: Thank you all.
Operator: And your next question today will come from Simeon Gutman with Morgan Stanley. Please go ahead.
Simeon Gutman: Hi, Paul. Hi, guys. Hi, Joel. I wanted to ask about your perception on price in Vital Care. Stepping back, looking at the offering, you know, how much value there is. I think this company has done a lot of work on pricing and narrowing gaps. And I'm asking also in the context because one of the competitors has that rewards program where they're giving 5% back. It seems like your offering is still in the right place, but wanted to get your perception.
Joel Anderson: Yeah. Thanks, Simeon. Look, price was one of the things we were working on before I even got in here. And we implemented thousands of price changes in the fall to be more competitive both up and down. And so I feel like we're in a really good place on price right now. And obviously, that's something that's dynamic, and we've now gotten better at just monitoring, you know, week in, week out, month in, month out. So our price is in a good spot from a perception place. And then as far as the Vital Care goes, you know, long term, the membership program is really important for us, and we're in the process of making that even better, doing some enhancements to it, and I think that'll be one of the levers we'll look at that'll help us drive growth in 2026 and beyond. But we feel really, really good about our membership program and expect to see that continue to grow as we have both a free membership program and a paid membership program. So we're pretty far down that path, and I think we can make it better, Simeon.
Simeon Gutman: One follow-up. I mean, no one has explicitly asked what the implied comp is. I know we are talking we talked about it, but curious you can share what implied comp. And then what does the industry do in 2025 because it looks like it's growing slightly again. And curious if it ends up being better or, you know, what kind of assumptions that you're building and such that you can get comp to positive. Thanks.
Joel Anderson: Yeah. Look, our assumption on it is that, you know, we're not waiting for the industry to recover. This 2025 is a self-help year for Petco Health and Wellness Company, Inc., and we can clearly deliver on what we shared with you today by driving internal operational and profit improvements that are not dependent on the industry. So like other things Sabrina shared, if the industry grows and we take our fair share, that's another tailwind for us.
Sabrina Simmons: Yeah. And just to underscore that, with the guidance down low single digits on sales, that's a range. We're not counting on a positive comp to achieve our adjusted EBITDA guidance. But there again, you know, if it comes and we welcome all customers, if it comes, great. It's just tailwind.
Simeon Gutman: Thanks. Good luck.
Joel Anderson: Thanks, Simeon.
Operator: And your next question today will come from Zach Fadem with Wells Fargo. Please go ahead.
David Lantz: Hi, guys. This is David Lantz on for Zach. Thanks for taking our questions. With sales expected down low single digit in Q1, curious if you can talk about the shape of Q2 to Q4 in a bit more detail and whether there's anything to keep in mind in terms of timing of store closures this year.
Sabrina Simmons: Yeah. I'll start off there. I mean, where we try to be really helpful is giving you the shape of the P&L that we are trying to achieve as a goal each and every quarter. So again, just as a reminder, our goal would be to expand gross margin every quarter on a year-over-year basis. I'm not talking sequentially. And to leverage SG&A. And so we just march that economic model right through every single quarter, and that is the goal.
Joel Anderson: And as far as store closures, you know, we can't give you anything definitive on that. But I think if you thought about it as one-third, two-thirds, first half of the year, second half of the year, I think that's a reasonable range. And then, obviously, we'll handle them on an individual basis as their leases come up.
David Lantz: Got it. That's helpful. And then fresh frozen remains a standout. So I was just curious if you could talk about the drivers of that and how that's performing relative to the industry.
Joel Anderson: Look. I mean, fresh frozen relative to the industry is still one of the faster growers. It's an area we've been in for a long time invested in, and it's an area you should see us continue to expand in. Feel really strong about our fresh frozen capabilities, and explore that further. That'll be another potential growth lever for us down the road as we.
David Lantz: Thanks.
Operator: And your next question today will come from Peter Benedict with Baird. Please go ahead.
Peter Benedict: Hey, guys. Thanks for taking the question. One, just staying on the stores, the 20 to 30 net closures this year. Is that a run rate that we should expect to continue maybe in out years? Just curious kind of what the longer-term viewpoint is on kind of the store fleet. That's my first question.
Sabrina Simmons: Yeah. I wouldn't read too much into that. You know, with a fleet of 1,500 stores or I'm sorry, 1,400 stores, you're gonna do some optimizing every single year. I think the probably the way to think about the net closure number is we're not actually opening a lot of stores against that, and that's why maybe the net closure looks a little bit bigger. But the theme here is that we own a lot of assets already on our balance sheet that we strongly believe we can make more productive. And so job one is taking the assets we own on our balance sheet and really making those work and then we will look to the future to, you know, regrow and some of that may come in the form, of course, of more stores, more to come. But I wouldn't read into too much of the two years of about 25 closures.
Peter Benedict: Okay. Thank you. That's helpful. And then my next question is kind of on merchandise differentiation efforts. You kind of talked a little bit just recently here about the fresh frozen. I'm just curious if there's anything else in consumables that you kind of have your eyes on. Is it brands? Is it owned brands? And also on supplies, kind of how do you achieve that? I know there's been some effort around that already, but just curious any more insights you'd share on where you're looking to go. Thank you.
Joel Anderson: Look. I think the best insight to share on that is just to be a little bit broad with you all is as I've gotten firmly planted, we've named Jack as our chief merchant. I'm starting to get out in the field and doing some top-to-tops with our top suppliers. And I would tell you, just have great relationships with our vendors. They want to see Petco Health and Wellness Company, Inc. succeed. They like the discipline we put in place, the transparency translates into opportunity. And they are talking to us about brands they're working on, ideas they're working on, and I'm really excited about the prospects that are out there, but I think specifically that'll all come as we move down the year. And, you know, I shared with you right now, we're optimizing our store. Really focused on the top sellers and what's driving the business. So we're in the middle of a big reset that's gonna happen here, and our big optimization of our overall consumables. But I don't see any limit to some new ideas. We talked about fresh and frozen, cap business is really strong, and, you know, we'll get more specific as we move on down the year. But this has really been focused on redeveloping relationships with the vendor community.
Peter Benedict: Fair enough. Thank you, and good luck.
Joel Anderson: Thank you.
Operator: And your next question today will come from Kendall Toscano with Bank of America. Please go ahead.
Kendall Toscano: Hi. Thanks for taking my question. Just curious as you're doing all this work to optimize the assortment, any update on how you're thinking about differentiation for Petco Health and Wellness Company, Inc. high level and where the opportunities are, whether it's on the consumables or general merchandise.
Joel Anderson: I'm not at any point that I want to talk about it openly, but I would tell you the marching orders for the team here has really been about looking at newness, looking at where there's innovation, and testing new product out there. And that's why we're in phase two right now, not phase three. And what's more important right now is that we get our cost infrastructure back under control and deliver on the three principles that Sabrina outlined in detail.
Kendall Toscano: Understood. Thanks. And then if I could just ask one more. Any more color on how traffic versus pricing looks during the quarter within the 0.5% comp?
Sabrina Simmons: You know, I think we're just we're looking at every lever to drive our position that we've guided to. So it's not one lever that we're looking to overuse. So, really, there's no big call out there.
Kendall Toscano: Thank you.
Operator: And your next question today will come from Seth Basham with Wedbush Securities. Please go ahead.
Seth Basham: Thanks a lot, and good afternoon. Maybe just to clarify a little bit, in terms of your EBITDA guidance of 14% increase at the midpoint, what are the largest building blocks? And if you can help us quantify those, that would be very helpful.
Sabrina Simmons: Well, the two biggest levers are this notion of expanding gross margin and leveraging SG&A. And we are going to use both of them. We're not leaning into one at the expense of the other. We're gonna be balanced. We're gonna be flexible. We're gonna be adaptable. And so those are our big two levers, and we're laser-focused on delivering that.
Seth Basham: The store closures represent a material improvement. I would assume within that 14% growth you're expecting. Can you clarify or quantify that and tell us what any other primary key drivers are?
Sabrina Simmons: Yeah. As Joel mentioned, so 2024, we closed 25 net stores. So, like, broad numbers, I'm just, you know, simple assumptions. That's about $50 million in sales. And nearly 1% of sales as we come into 2025. And then, again, in 2025, we expect to close net 20 to 30. We generally back halfway closures as most retailers would. So that won't have as big of an impact in 2025 as the 2024 closures, but it gives you a sense of what the closures mean to the year.
Seth Basham: Alright. And last follow-up question related to that. When we think about the biggest risk and opportunity to the visibility of your EBITDA improvement in 2025, how do you assess those?
Sabrina Simmons: Well, what I like about how we're managing this year is we're not relying on a robust macro or robust consumer. Again, because you see our top line is anchored on a low single-digit decrease in sales, that to me is good news. Because it forces us to use all the other levers to deliver the adjusted EBITDA. And if we do better, macro, top line, it's all just great extra tailwind for us.
Seth Basham: Thank you.
Operator: And your final question today will come from Chris Bottiglieri with BNP Paribas. Please go ahead.
Chris Bottiglieri: Hey. Thanks for taking the question. Just wanted to ask what you're kind of embedding for inflation in your outlook if you're seeing any kind of signs from vendors that cost is turning up again, you could pass that through. And then kind of not really related, but semi-related, what are you assuming for promo? It's like percentage of COGS sold on promo. Given that you said you're pulling back, like, is there a way you can frame that for us? Will promos be down year on year? You're just gonna be repurposing those promos into, like, more productive programs that actually drive profits? Thank you.
Joel Anderson: Yeah. Look. It's pretty steady year over year. From that. I mean, the market's promotional, but it's generally rational. I think my commentary was more just about chasing empty calorie sales. And just being more disciplined that when we do a promo, there's an end game to it that it delivers some lifetime value for us. And so it's just all part of us getting back to executing against retail fundamentals. But overall, I think the promotional environment's pretty steady year over year. I don't know.
Sabrina Simmons: Yeah. No. The only thing I'd add to that, Chris, is that we want to offer value to our customer and we want to be perceived as offering value to our customer. But some of the things that we were allowing systemically in our offering was, for example, stacking of promos. Which you just don't want to do. That's just cleanup. So when we say managing promos, some of it is just this real cleanup so that we're not allowing these stacking of promos, but we're still gonna be offering good value, and we're gonna be in there with the competition.
Chris Bottiglieri: Fantastic. Thanks, Joel and Sabrina. That concludes our call today. Thank you, everyone, for your time and your thoughtful questions, and we look forward to continuing the conversation.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.